Operator: Hello, and welcome to the Robert Half Second Quarter 2018 Conference Call. Our hosts for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half; and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Max Messmer: Thank you, and good afternoon, everyone. We appreciate you joining us. I'd like to first preface our remarks with a reminder that comments made on today's call contain predictions, estimates and other forward-looking statements. These statements represent our current judgment of what the future holds and include words such as forecast, estimate, project, expect, believe, guidance and similar expressions. We believe these remarks to be reasonable. However, they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Some of these risks and uncertainties are described in today's press release and in our SEC filings, including our 10-Ks, 10-Qs and today's 8-K. We assume no obligation to update the statements made on today's call. For your convenience, our prepared remarks also are available on our website at roberthalf.com. From the home page, click on Investor Center at the bottom left of the page. You will find the Quarterly Conference Calls link in the Investor Center. Now let's turn our attention to Robert Half's financial results for the second quarter of 2018. Revenues during the quarter were $1.457 billion company wide. This is up 11% on a reported basis and up 10% on a same-day, constant-currency basis compared to the second quarter of 2017. Net income per share in this year's second quarter was $0.89, up 39% compared to the second quarter of last year. Cash flow from operations in the second quarter was $148 million, and capital expenditures were $9 million. We paid a $0.28 dividend to stockholders in June at a total cost of $34 million. We also repurchased 1.1 million Robert Half shares in the second quarter at a cost of $76 million. We have 10.1 million shares available for repurchase under our Board-approved stock repurchase plan. We saw across-the-board strength in our U.S. and international staffing and Protiviti operations during the second quarter as year-over-year growth rates accelerated versus the first quarter. Favorable global economic trends, a robust job market and positive business sentiment among our small and midsize client base contributed to the strong quarter. During the second quarter, Robert Half's return on invested capital was 39%. I'll turn the call over to Keith now for a closer look at our results.
Keith Waddell: Thank you, Max. Global revenues were $1.457 billion in the second quarter. This is up 11% from the year-ago period on a reported basis and up 10% on a same-day, constant-currency basis. Accompanying our earnings release is a supplemental schedule showing year-over-year revenue growth rates on both a reported and as-adjusted basis. These figures are further broken out by U.S. and non-U.S. operations. The term, as-adjusted, reflects the removal of the impact of billing days, currency fluctuations and certain inter-company adjustments in our international operations. This is a non-GAAP financial measure designed to provide insight into certain revenue trends in our operations. Second quarter staffing revenues were up 9% on an as-adjusted basis. U.S. staffing revenues were $930 million, up 6% on a same-day basis, while non-U.S. staffing revenues were $293 million, up 17% on an as-adjusted basis. We have 325 staffing locations worldwide, including 86 locations in 17 countries outside the United States. Second quarter had 63.5 billing days compared to 63.3 days in the second quarter one year ago. The third quarter had 63.3 billing days compared to 63.1 days in the third quarter of 2017. Currency exchange rate movements versus the prior year were favorable and had the effect of increasing reported year-over-year staffing revenues by $16 million in the second quarter, which boosted year-over-year reported staffing revenue growth rates by 1.4%. Second quarter global revenues for Protiviti were $234 million, with $184 million coming from business within the United States and $50 million from operations outside the United States. Protiviti revenues were up 14% year-over-year on an as-adjusted basis. Second quarter U.S. Protiviti revenues were up 11% from the second quarter '17 on a same-day basis, while non-U.S. revenues were up 25%. Exchange rates had the effect of increasing year-over-year Protiviti revenues by $2 million in the second quarter and increasing the year-over-year reported growth rate by 1.2%. Protiviti and its independently owned Member Firms serve clients through a network of 81 locations in 25 countries. Now let's turn to gross margin that we achieved in the second quarter. Gross margin in our temporary and consulting staffing operations was 37.5% of applicable revenues compared to 37.4% of applicable revenues in the same period a year ago. Higher temp-to-hire conversion fees and expanding bill/pay spreads offset higher fringe benefit cost. Second quarter revenues for our permanent placement operations were 11% of consolidated staffing revenues compared to 10.1% of consolidated staffing revenues in Q2 2017. When combined with temporary and consulting gross margin, overall staffing gross margin increased 70 basis points versus a year ago to 44.4%. Second quarter gross margin for Protiviti was $64 million or 27.3% of Protiviti revenues. One year ago, Protiviti gross margin was $53 million or 26.7% of Protiviti revenues. Turning to selling, general and administrative costs. In the second quarter, staffing SG&A costs were 33.7% of staffing revenues versus 33.5% in the last year's comparable period. The higher mix of permanent placement revenues this quarter versus the year ago added 50 basis points to this quarter's SG&A ratio. SG&A costs for Protiviti were 19.4% of Protiviti revenues in the second quarter compared to 18.3% of Protiviti revenues in the year ago period. Second quarter operating income from our staffing divisions was $134 million, up 15% from the same period a year ago. Operating margin was 10.7%. Our temporary and consulting staffing divisions reported $104 million in operating income, an increase of 11% from the prior year's second quarter. This resulted in an operating margin of 9.5%. Operating income for our permanent placement division was $27 million in the second quarter. This was up 30% from the prior year and produced an operating margin of 20.3%. Operating profit for Protiviti was $19 million in the second quarter, an increase of 12% from the same period in the prior year, producing an operating margin of 7.9%. At the end of the second quarter, accounts receivable were $802 million, and implied days sales outstanding, DSO, was 49.4 days. Before we move to third quarter guidance, let's review some of the monthly revenue trends we saw in the second quarter of 2018 and so far in July, all adjusted for currency and billing days. Our temporary and consulting staffing divisions exited the second quarter with June revenues growing 8% versus the prior year compared to 7.7% for the full quarter. Revenues for the first two weeks of July were up 10.3% compared to the same period in 2017. For our permanent placement division, June revenues were up 16.7% versus last year compared to an 18.0% increase for the full quarter. For the first three weeks in July, permanent placement revenues were up 25.9% compared to the same period last year. This information is designed to highlight some of the trends we saw during the second quarter and so far in July, but as you know, they represent brief periods of time and we caution against reading too much into them. That said, we offer the following third quarter guidance: revenues, $1.430 billion to $1.490 billion; income per share, $0.88 to $0.94. The midpoint of our third quarter guidance implies year-over-year revenue growth of 10% on a same-day, as-adjusted basis, including Protiviti, and EPS growth of 34%. We limit our guidance to one quarter. All estimates we provide on the call are subject to the risks mentioned in today's press release and in our SEC filings. Now I'll turn the call back over to Max.
Max Messmer: Thank you, Keith. We were pleased with how the business performed in the second quarter. Revenue growth was broad-based across all staffing lines of business and Protiviti during the quarter. International staffing and Protiviti results remained solid, and U.S. operations continued to gain momentum. Improving economies and tightening labor markets globally are resulting in higher demand for our services. As you know, we follow small business hiring very closely as small and midsize companies make up the majority of our staffing clients. The NFIB small business optimism index remains near historical highs. In the June report, small business owners said their single most important business problem is finding qualified workers. We are a available resource for these companies as they look to grow their teams. I would also like to highlight Protiviti's quarter. We are pleased with how this business is positioned in the marketplace right now. Protiviti is highly regarded for its internal audit and internal control solutions, and they are seeing growing demand for their broad array of consulting solutions in risk and compliance, technology, data and analytics and business performance improvement. The partnership between Protiviti and our staffing business makes Robert Half unique in our industry. For major client initiatives, Protiviti can not only offer its highly regarded consulting expertise and technologies, but also quickly draw on the staffing side of our business to bring in the necessary hands-on skills, the nature of and the need for which can fluctuate considerably during the life of a client's project. In the meantime, our digital innovations are enhancing more and more of our customer touch points. Already, clients and candidates have multiple ways to interact with us online, and we will continue to expand our digital service offerings in the future. Now Keith and I'd be happy to answer your questions. [Operator Instructions]
Operator: [Operator Instructions] Your first question comes from the line of Mark Marcon from R.W. Baird. Your line is open.
Mark Marcon: Good afternoon. And congratulations on a strong quarter. I was wondering if you could talk a little bit about some of the trends that you're seeing in RH Technology. That accelerated materially, as well as in Protiviti. Those were both a little bit stronger than I was expecting? Thank you.
Keith Waddell: Sure. So in technology, I would say generally speaking, higher levels of business confidence among our middle-market clients mean larger tech budgets. Cyber and cloud are particularly hot areas. I think we're being more thoughtful in expanding the matrix of candidates that we target to recruit. Again, in the cyber, cloud area, it's not only developers but there's people up and down the stack. DevOps people are particularly in demand, more deployments, more patches, more roll-outs, more apps, more app changes. Generally speaking, we're very happy to see the improvement that began last quarter that we talked about, continue into the second quarter and we expect to continue into the third quarter as well. Protiviti, the pipeline is very strong. We're particularly proud of the joint projects we have with staffing, the collaboration with blended solutions to improve key business functions going quite well. We jointly complete enterprise-wise projects together; technology consulting, FSI strong. A little bit go in the other direction. We are seeing some rate and margin compression from our FSI, larger clients particularly. Pressure from procurement is something that we're having to deal with but net-net, clearly, the growth rates in Protiviti, U.S. and non-U.S., have ramped up nicely and we're very pleased with that.
Mark Marcon: That's terrific. Can you talk a little bit about the bill pay spread that you experienced as well as the temp-to-perm conversions?
Keith Waddell: Sure. So first of all, just bill rates increased 3.7% year-on-year, and that's up from 2.5% last quarter. Temp-to-hire conversions are 3.5%. That's up 30 basis points from a year ago when they were 3.2% of revenue. So we've expanded our spreads. We've expanded conversions. We've worked some time given the backdrop of higher fringe benefit cost, which continue, that we need to expand our spreads to cover those. We're very close to doing that, such that all of the - or most of the conversion improvement falls to the bottom line. So we're very pleased with the progress we've made on temp margins, generally bill pay spreads specifically, as well as conversions.
Mark Marcon: Terrific. I’ll jump back in the queue. Thank you.
Operator: Your next question comes from Dan Dolev from Nomura. Your line is open.
Dan Dolev: Thanks, guys. And congrats. Quickly back to the bill rates. It seems to be the -- pretty much the fastest acceleration that I remember. Can you talk a little bit where it's coming from? I would assume it's U.S. driven, but maybe you can give some color, and I have a follow-up.
Keith Waddell: Well, clearly, the acceleration is virtually all U.S. driven. And while we're up 3.7%, just for perspective, if you look at the period 2004 through 2008, we were consistently getting 5% to 6% rises in bill rates driven by higher pay rates, which were slightly less than that. So while we're gaining from a bill rate standpoint year-on-year, they're still nowhere near what we experienced in the last expansion where we were consistently seeing 5% to 6%.
Dan Dolev: Got it, understood. And kind of related to that, I think in April, you were talking about something that reminded you of an early cycle. I think it was perm-[not going] [ph] temp. And maybe comment on where you think we are. It sounds like we're maybe earlier - in an earlier inning than a lot of people think. Maybe you have a view on that. Thank you.
Keith Waddell: Well, if you just look at objective data and you would look at wage inflation and bill rate increases for the reason I just mentioned, we're nowhere near where we were. And so by that measure, we're hardly - it's hardly - it's not running as hot as it ran during that period of time, which gives us optimism that this has some legs. So that said, it's not a business where you have a lot of visibility. But to the extent of the visibility we do have, we're very optimistic. Our people in the field are extremely optimistic.
Dan Dolev: Excellent, so are we. Congrats, again. Thanks.
Operator: And your next question comes from Manav Patnaik from Barclays. Your line is open.
Unidentified Analyst: Hi. This is Ryan on for Manav. Just a question around operating margin leverage. Historically, when you've seen growth rates like what you're putting up here in the second quarter, there's been a little bit more margin leverage. Can you just talk about maybe the mix of investment and some -- any headcount movements that are going on below the line?
Keith Waddell: As we mentioned on the last couple of calls, kind of as we're ramping up the acceleration in our growth rates, we're focused more on growth than we are margin at the moment. Not that margins are being dilutive from a staffing standpoint but our SG&A as a percent of revenue by line of business, temp versus perm, is staying pretty even. Because what we're doing is we're adding to heads commensurate with the accelerating rates of growth and revenues. And for the short term, we'll continue to do that. Ultimately, we will back off a little bit on our headcount growth, but the thought is while our revenue growth rates are accelerating to the degree they are, it's better to err with a few too many recruiters/salespeople than having too few. As we've said in the past, the thought is we want to feed the hot hand, the fish are running, and we want to be there.
Unidentified Analyst: Makes sense. And then I guess, I mean, I know it's fairly early and we don't have a lot of detail, but have you heard any clients talking about tariff policy? And any hesitation on their end?
Keith Waddell: I don't think yet we're having specific discussions or we've got specific concerns about tariffs per se. I think it's the second order impacts potentially on sentiment and optimism that concern us more. But at least to this point, there's very little, if any, impact on that.
Unidentified Analyst: Thank you.
Operator: Your next question comes from Andrew Steinerman from JPMorgan. Your line is open.
Andrew Steinerman: Hi. Keith. Could you tell us if you think the labor market for finance and accounting workers that you recruit for temp positions is tight? And then my next question related to that is, is a tight labor volume end good for Robert Half when considering you have to recruit hotter but you get higher bill rates in return?
Keith Waddell: I'd say there's no question that the labor market for finance and accounting professionals is tight. I think the combination of our experienced recruiters and the technology that we developed are standing as well. We're managing through the tighter labor market. We're optimistic. We can continue to do so. Net, it's good for Robert Half. There's more demand. Further, the margins typically expand in these kind of markets because we have an opportunity to have a discussion with the client that says the realities of market are we're having to pay more. You'll then have to pay more to get the kind of candidates that you want on your assignment. And frankly, there's nothing like a client losing out on their first choice to speed their decision making thereafter, and that's what's beginning to happen and that's why you see year-on-year bill rates increasing 3.7% versus 2.5%. That's largely driven by higher wage rates.
Andrew Steinerman: Okay, thank you.
Operator: Your next question comes from Tim McHugh from William Blair. Your line is open.
Tim McHugh: Thanks. Just want to ask a little more on Protiviti. I guess, basically, the question is why now? I guess, what kicked in that drove such a further acceleration in that business recently?
Keith Waddell: Well, why now? I'd say technology consulting. You've got cyber and cloud that are hot. We've focused on that area as we've added staff in those areas. FSI regulatory continues to be very strong. We've added resources in those areas. And then this go-to-market together with staffing has gotten increasingly more traction, not only in the United States but outside the United States where the growth rates were particularly high this quarter. So it's a combination of continued or re-accelerated demand with pretty aggressive addition to headcount that we've done internally. As I said earlier, for the coming quarter, we're going to continue to aggressively add to Protiviti's headcount. That will have a margin compression impact, as well as some of those FSI, the larger clients, the larger projects, we're seeing some compression there as well. So while overall, our operating margins, we believe, will expand a few basis points quarter two to quarter three, a lot of the expansion comes on the staffing side that's offset to some degree - to a large degree by the dilution we're going to see from Protiviti for the reasons I just mentioned.
Tim McHugh: Okay. Along those lines, I guess you also locked down the income statement. I guess just it sounds like there are some things we need to be aware of in terms of what you assumed for Protiviti versus...
Keith Waddell: On the staffing side, the guidance assumes that the momentum from the second quarter continues into the third quarter. The midpoint, same-day constant currency growth rate accelerates from 9% to 10%. On a reported basis, currency actually turns around and it's a drag of 1%. And on a reported basis, at the midpoint, the revenues grow 9%. Gross margins, temp staffing, sequentially flat to up slightly, which gives a year-on-year improvement of 30 to 50 basis points. SG&A, as we just spoke, we continue to add recruiters in sales to support the accelerating growth. If you look at the SG&A ratios of temp alone and perm alone, they're pretty constant year-on-year. But when you put the two together, because there's a higher perm mix, the overall combined SG&A ratio actually rises 40 basis points but from our perspective, it rises for a good reason. From an operating income standpoint, you see 80 to 100 basis points of margin improvement year-on-year with the higher temp gross margins, the higher perm mix, but Protiviti dilutes 80 to 90 basis points of that so that your overall margin improvement year-on-year is more like temp data, maybe 10 to 30 basis points. Tax rate goes down a little bit, maybe a range of 25% to 26%. We expect some foreign tax credits in the third quarter we didn't have in the second. And the share count goes down 600,000 or 700,000 on additional repurchases. On the Protiviti side, growth rates remain double digit, remain strong. Tech, FSI, lease accounting is good. Go-to-market with staffing continued good. At the gross margin line, sequentially, we think the gross margins, Protiviti, will be flat. However, year-on-year, they'll be down 2 to 2.5 percentage points for the reasons I've talked about. On the SG&A side, again, with the aggressive ramp-up in headcount, while the payroll costs are upstairs in gross margin, you've got training. You've got recruiting. You've got travel. All the infrastructure costs related to that are in SG&A. So SG&A, while it will be down 1 point sequentially, it will be up about 50 basis points year-on-year. And so from an operating income standpoint, sequentially, Protiviti's margins will be up 80 to 100 basis points, but year-on-year, they'll be down 2.5 to 3 percentage points. But net-net, we feel great about where we are staffing in Protiviti. We feel great about our -- the tone of business in both sides of the business, U.S. and non-U.S., temp, perm and Protiviti, and the guidance reflects that.
Tim McHugh: And just one follow-up. As we think about Protiviti's margins, I guess how -- going beyond the third quarter, how much of this is temporary? You've hired ahead of demand or something like that? Or given the pressure you talked about, I guess, is this just -- we need to think about this as the margin fall-through at this revenue size for now.
Keith Waddell: Well, I think there are some of each, Tim. Some of it's aggressive investment ahead of revenue. Some of it's some rate compression with the FSI clients. We will work very hard to deal with that as we go forward, but clearly, some of the FSI rate compression doesn't go away in a quarter or two.
Tim McHugh: Thank you.
Operator: Your next question comes from Gary Bisbee from Bank of America Merrill Lynch. Your line is open.
Gary Bisbee: Hi, guys congratulations on the strong results. Just thinking about the transition or mix changes that are happening in Protiviti, can you give us a sense how does the mix look in terms of end markets today versus 5 years ago? And I'm sure you don't want to put numbers on it, but directionally, how much is it -- has it changed? And how important is that to thinking about the growth potential going forward? And as part of that, any other parts of the business where you'd say there is a meaningful change in the mix of business you're doing in the last few years or during the cycle?
Keith Waddell: Well, if you take a 5-year view, I'd say the biggest change in Protiviti is the success it's had with staffing going to market together. And therefore, the joint revenue we have between the two has meaningfully increased. Second, I would say we've had the highest and most consistent growth in technology consulting within Protiviti, which is largely security, privacy, business continuity. And not that FSI hasn't done well and not that internal audit hasn't done well, but if you had to look at the two flares in the group, I would first call out the joint go-to-market and then I would second call out technology.
Gary Bisbee: Okay. And looking beyond Protiviti, is it safe to assume that the mix of business has been reasonably stable in much of the rest of what you do?
Keith Waddell: Well, I'd say perm has been growing faster than temp for, I don't know, 3, 4, 5 quarters. That's great for margins. Non-U.S. has grown faster than U.S although U.S. is catching up. That's slightly dilutive to margins. So within the staffing side of the business, it's more about temp versus perm than it is line of business within temp.
Gary Bisbee: Fair enough. And then the follow-up question, you've talked a lot about the digital innovations and investments you're making in improving or enhancing customer experience and touch points. As we think about this over the longer term, is there an opportunity to improve profitability by either reducing the dependency on headcount or making the headcount you have be more productive? Or is this just more about enhancing the customer experience so that you become stickier and gain share?
Keith Waddell: Well -- so as you mentioned, we've long talked about that the digital experience of our clients and candidates is very important, and to have it seamlessly integrated with what we do off-line or traditionally is also quite important. We're increasingly using AI and ML, leveraging our 70 years of placement experience. In the marketing area that we haven't talked about a whole lot, we use AI and ML to micro-target clients, to micro-target candidates and prospects. Furthermore, we individualize or personalize the message down to the person using the AI and ML. And therefore, the click-through rates, the response rates you get to our marketing improves dramatically based on that micro-targeting and personalization. So as we move forward in time, that helps top line. Further from a recruiting standpoint, our searching for candidates benefits from AIML as we fill jobs. Matching requirements to candidates benefits from AIML. So while the discovery portion of recruiting, I would argue, gets enhanced by technology, there's still the closing portion. You still need a human being to close the candidate. You still need a human being to assess their soft skills, their attitude, their professionalism, their demeanor. And frankly, it's the candidate closing that's the harder part at the moment than it is the discovery. And therefore, at least in the short term, we don't see SG&A leverage from these investments from a cost standpoint, but we clearly see them as revenue-enhancing from the standpoint of more business with existing clients, new clients as well as recruiting, which, notwithstanding the fact that college grad unemployment is at 2% and south of that in our disciplines, we're still growing nicely. And I would argue that's a combination and couldn't happen without our technology investments as well as our investments in headcount.
Gary Bisbee: And that’s great color. Thank you.
Operator: Your next question comes from Jeff Silber from BMO Capital Markets. Your line is open.
Jeff Silber: Thanks so much. Your international business was strong across the board. I was wondering if we can get a little bit more color in terms of specific country that may have outperformed> Thanks.
Keith Waddell: And so in staffing, we were led by Belgium, Germany, Canada, in that order. In Protiviti, we were led by U.K., Australia, Germany, in that order. But generally speaking, we were strong across the board. We were just particularly strong in those countries.
Jeff Silber: And was there anything specific driving them? I know each country is different, but I'm just curious, if there's anything special going on.
Keith Waddell: Well, in staffing, Belgium's a juggernaut. We can't say enough good things about Belgium, and that's been true for a very long time. They continue to outperform their prior results, our expectations. It's a strong market. We have particularly strong experienced people there. Germany, we've been making outsized investments in headcount. Germany tech has done particularly well of late. Protiviti U.K. that's principally FSI, we've also invested heavily in our capabilities there. Australia Protiviti is not only FSI, but it's government and technology as well.
Jeff Silber: Great. And if I could just sneak in one more -- and forgive me if I'm wrong, but did you open up new locations in Protiviti this past quarter? I thought the count last quarter was 76. It was 81 this quarter.
Keith Waddell: And so in -- with staffing in Protiviti, we -- during the quarter, we moved some accounts internationally from MR to Protiviti. Many of these had been joint accounts in the past. Our supplemental growth rate schedule adjusted the prior year comparisons for consistency so that those didn't distort the growth rates. So the additional locations you're seeing show up for Protiviti are essentially the locations where we transferred those accounts for management resources.
Jeff Silber: Okay, great. I appreciate the clarity. Thanks so much.
Operator: Your next question comes from George Tong from Goldman Sachs. Your line is open,
Jean Song: Hi, there. This is Jean Song on for George. So last quarter, you noted recent traction with cross-selling between account temps in Protiviti. So any color on how much growth cross-selling contributed in the quarter or how the number of joint wins this quarter compare to 1Q?
Keith Waddell: The wins are clearly up. The number of the wins, the size of the wins. We're particularly excited about the traction we've gotten and continue to get. We don't break it out. But clearly, we see it as a significant competitive advantage for the enterprise to have under one roof both a supplemental staffing, staff augmentation, world-class organization as well as on the consulting side, somebody that can do deliverables that can manage the more complex client business problems. It's working very well. We go to market together. We can provide a more cost-effective joint solution than the alternatives our clients tend to have.
Jean Song: Great. And as a follow-up, just given the healthy growth acceleration in the quarter, you mentioned a likely pick-up in the pace of internal hiring starting next quarter. Could you maybe just give some detail on the quarter-to-quarter pace of hiring over the next year? And when we can expect that to maybe slow down a little?
Keith Waddell: Well, on the staffing side, the thought is we're going to continue to add headcount at least in the short to near term proportionate to the revenue growth we anticipate. On the Protiviti side, we've been even more aggressive than that short term. For the acceleration that you see, we think that should moderate in the next quarter or two, but in the short term, Protiviti headcount will outpace its revenue growth.
Jean Song: Great. Thank you so much.
Operator: [Operator Instructions] Your next question comes from Kevin McVeigh from Credit Suisse. Your line is open.
Kevin McVeigh: Great. Thank you. Keith or Max, I'm wondering if you could give us thoughts. Given where we are in the cycle from a candidate perspective, are you having more recruiters kind of source candidates as opposed to go out and bid business? And at what point does it get where you need to hire even more to source candidates, given where kind of unemployment is for the college educated?
Keith Waddell: Well, recruiting is a combination of using our technology tools and the hand-to-hand combat recruiting techniques we've learned and perfected over many, many years. So we're comfortable that given our growth rates that, that gives us -- those growth rates fund what we need internally, both from an invest in technology as well as add to heads to do so. There's no question that closing candidates, because they have multiple opportunities, their existing employer will counteroffer them. They have multiple offers on the outside. So closing candidates clearly takes longer. Furthermore, with clients, we're becoming labor consultants because to the extent their first choice costs more or it's hard to source, we help them understand people with adjacent skills, people with a little less experience that based on our data, based on our history say can still perform well on their engagements.
Kevin McVeigh: That's helpful. And then, Keith, any benefit from kind of the IT investment to the system conversion you did just about -- I guess, it's about 12, 18 months ago. Has that been helping in the sourcing process too or is that primarily independent of the recruiting function?
Keith Waddell: As we've said with our digital initiatives, I think the fact that everything is based on our sales force platform that we did a couple of years ago now, it seamlessly gives all parties transparency into what's going on, which we think important. If you see something online you like and you reach out to a recruiter, that recruiter ought to be able to see what you saw online. If, in our marketing efforts, we targeted a given prospect with a very targeted message and that prospect follows up with us, our recruiters and salespeople internally ought to know exactly what that was. And frankly, we couldn't have that integrated experience, internal and external, but for the investment we made in Salesforce a couple of years ago.
Kevin McVeigh: Thank you.
Operator: And your next question comes from Hamzah Mazari from Macquarie. Your line is open.
Hamzah Mazari: Good afternoon. The first question was just on bill rates. You had mentioned sort of last expansion, you got this sort of 4% to 5%. A couple of quarters ago, you had also mentioned clients were being frugal, but it seems like bill rates have gone up now. So maybe just any color as to -- is there any structural change in the market whereby 5% is not realistic this cycle? Or any thoughts as to conviction level of getting back the 5% on the bill rate?
Keith Waddell: Well, I think it's a matter of supply and demand. And as I said earlier, there's nothing like a client missing out on their first choice that they're more willing to pay the next time you present them with a candidate. And I think with unemployment rates falling and more and more pressed generally about tight labor market, clients somewhat reluctantly acknowledge through their words and their actions that they have to pay more. And therefore, one would expect it would seem reasonable that wage inflation would continue to rise, as would our bill rates. That said, so far in this expansion, it's the one thing that's underperformed what we've seen in prior expansions, but it does give us some optimism that we're not overheated relative to what we've experienced in the past.
Hamzah Mazari: Great. And just a follow-up, any change in the competitive environment for Protiviti? I know you mentioned some of the strength you're seeing in tech consulting and cyber and other areas. But any change in sort of who you're competing against? Are you seeing share gain? Any color on that.
Keith Waddell: Well, Protiviti's principal competitor is the Big 4 across their service offerings. And frankly, that hasn't changed. I mean, there are other non-Big 4 competitors, but the feature fight as it relates to Protiviti is the Big 4.
Hamzah Mazari: Great. Thank you.
Operator: And your next question comes from Mark Marcon from R.W. Baird. Your line is open.
Mark Marcon: Just two follow-ups. With regards to Protiviti, you're clearly accelerating the headcount addition. When you think about it longer term, how do you -- how should we think about the margin profile for Protiviti?
Keith Waddell: Well, we've long said that we think Protiviti is a double-digit margin performer, and we haven't strayed or varied from that at all. So for a quarter or two, we were lower than that versus in the past. But we're cautiously optimistic that long term, we can sustain very solid growth rate and have double-digit operating margins.
Mark Marcon: Great. And then with regards to RH Technology, we just started seeing this acceleration with regards to the growth. It sounds like there shouldn't be any reasons why, given the size of the market, that growth shouldn't continue assuming the environment stays the same. How far along do you think you are in your progression towards where RH Technology could ultimately go to?
Keith Waddell: RH Technology has just begun to participate from our perspective. Frankly, at the moment, it has the easiest compares. Over time, they get tougher. I would also say we've learned from the playbook and finance and accounting going to market together with Protiviti, and we're doing that same thing in technology. And quite frankly, we're particularly pleased with how that's ramping up early. It's very early. It's clearly behind where we are in finance and accounting, but the early signs are quite good.
Mark Marcon: That's great. And then just with regards to innovation, can you talk a little bit about some of the contributions that you think you're actually seeing from the way that you're interacting with the clients in terms of driving incremental revenue? Or how should we think about what stage we are in, in terms of those innovations really impacting the business?
Keith Waddell: I think it's early. We talked about we believe how we market to clients, candidates, prospects is dramatically impacted by our digital initiatives. We're being way more targeted with a much more directed message than we've ever been before. Consider that the air attack, if you will. You then couple that with very experienced ground attack that has visibility to what's going on with the air attack, and the combination is powerful. The fact that we're recruiting candidates as well as we are, notwithstanding these all-time low unemployment rates, to me speaks as well to clearly part of what we are doing on the technology side from a candidate discovery point of view is getting traction. Quantifying specifically what it would be but for that is hard to do. That said, there's no question we can certainly measure click-through rates. We can certainly measure response rates. We can measure candidate sources, but what's harder to measure is -- but for the technology we have, what would have happened then? All we know is we're getting traction.
Mark Marcon: And it sounds like it's still early. Congrats, thanks.
Max Messmer: Mark, Keith talked a lot about the technology and the digital innovations. I'd just add that on the people front, one of our reasons for optimism which sometimes isn't recognized, is if you looked at our top 200 people in the U.S. and internationally, they average over 20 years with Robert Half. We have a very, very good ball club and I'm very proud of the job they've been doing.
Max Messmer: With that, that was our final question. We appreciate your interest today. Thank you very much.
Operator: This concludes today's teleconference. If you missed any part of the call, it will be archived in audio format in the Investor Center of Robert Half's website at www.roberthalf.com. You can also dial the conference call replay. Dial-in details and the conference ID are contained in the company's press release issued earlier today.